Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Thryv Third Quarter 2025 Earnings Call. [Operator Instructions] I will now hand the conference over to Cameron Lessard, Vice President of Corporate Development and Strategy. Please go ahead.
Cameron Lessard: Good morning, and thank you for joining us for Thryv Holdings Third Quarter 2025 Earnings Conference Call. With me today are Joe Walsh, Chairman and Chief Executive Officer; and Paul Rouse, Chief Financial Officer. During this call, we will make forward-looking statements that are subject to various risks and uncertainties. Actual results may differ materially from these statements. A discussion of these risks and uncertainties is included in our earnings release and SEC filings. Today's presentation will also include non-GAAP financial measures, which should be considered in addition to, but not as a substitute for our GAAP results. Reconciliations of these measures can be found in our earnings release. As a reminder, on this call, SaaS revenue reflects the combined performance of Thryv and Keap. We will only specify Keap's performance when discussing its revenue contribution for the quarter and fiscal year. With that, I'll turn the call over to Joe Walsh, Chairman and CEO. Joe?
Joe Walsh: Thank you, Cameron, and good morning, everyone. I'd like to give you an update on our business transformation, some of the progress that we're making, and then Paul will take you through this quarter's numbers after that. First thing I want to do is update you on our grow conference. Two weeks ago, we had out in Arizona, a small business growth conference. It was broken into two pieces. The first couple of days were a partner conference, a lot of the partners that both Keap and Thryv have, which is really now one partner community. And I have to tell you, when we first met them a year ago, they were a little bit angry. They were saying, we've not been invested in enough by the prior ownership of Keap. And we feel like you owe us certain deliverables. And so, I must say our partner results this year have been okay, but they've not been the kind of big lift that we were looking for. And so, we worked really hard with these partners to figure out what kind of updates they need, what kind of partner portal they need, what kind of rest API updates, what kind of product improvements and which things really mattered, and we've delivered a lot for them. And so, this partner update was like Christmas, us delivering on the value that they were looking for. And so, I have better expectations as we go into '26. I think these partners are pretty impressed at the pace at which we are delivering and innovating the software. So that was great. And the second part of the conference was small businesses. Hundreds of small businesses came in. Obviously, some existing customers came to learn more about how to use the tools, but I was surprised at how many prospective customers came, customers that, in some cases, are on some other tool or aren't on any tool, who came to learn more about how to market their business. And we presented to them a really simple growth model of market, sell and grow and show them how particularly Marketing Center can give them the foundation for growth. Marketing Center is our fastest-selling product. It's really become the tip of the spear for us as we've settled in on this kind of market sell growth strategy. And it really gives you all the good hygiene. It gets your listings managed all across the web. It gives you a well-built website that's not only search engine optimized, but it's answer engine optimized, which is really important because the answer engines are gaining share every day. So, we've built the knowledge graph on these sites, and we're continually tweaking the sites to make sure that they're really answer engine friendly and bringing you up high on those results. And so that's been really big as well. When you have a Marketing Center, you have call tracking numbers, so you can track results everywhere online, offline. So, you can figure out the truck wrap that you have, does that pull calls, the yard sign you have in front of the job that you're doing. When you're doing stuff in social, how is that pulling? And you can even look at one social sort of personality versus another and what's pulling the best. If you're running search campaigns, you can track everything. And what we're finding is a lot of people are using Marketing Center, even if they're using someone else's CRM, that they might be on one of our sort of competitor CRMs, but then using Marketing Center in order to manage their marketing because it's the best thing available in the market. So, we're pretty excited about the progress we're making there. The Grow Conference was really a confirmation that -- these small businesses want to get their marketing right. They really want to find a way to be found and consistently measure what's working. So, we're excited about that. We were also able to update the attendees on the AI developments that we've experienced. We're rolling out lots of AI within the software. We've got social captioning where when you do social posts, it can help you write that social post in your personality. If you are posting a photo, it can help you capture that, suggest several captions. You can pick the one that you think works the best. Review response is a big deal because lots of these small businesses have a tough time keeping up with reviews. So, the software goes and finds review, brings it to you, make sure you don't miss it and suggest several review responses. And you can just pick the one in the middle or the one that you think is the best voice for you and it posts it, and it's all taken care of. And you don't have to kind of make a sticky note to remember to do it. It's all happening in real time. Your listings, it is helping you with everything with service descriptions. If you've got a new area of your business or something, you can use the AI to help you write a very professional service description of what you do. So not all of our customers are the best wordsmithers, so it kind of gives them a more polished space. Everything to do with websites. We've got obviously, a service that we provide as a company to build big powerful websites for customers. But sometimes they don't need all that. And so, we've got a simple AI website builder now. It will be out in a couple of weeks that will allow a small business to come in and just spin up a quick website using AI. Copywriting assistant. When you're sitting there and you're doing any kind of copywriting for landing pages or trying to build a little e-mail campaign, we've got that built right into the tool where that's happening. You've got call analysis. This is something we've had in beta for a little while. It's working really well, where it takes your calls and actually gives you a transcript of the inbound call and then does lead scoring on it. I was talking to one of our partners at the conference who was in on the beta, and he was telling me about a dentist that he has out in the Pacific Northwest, who, over a 2-day period of time, got 27 leads. He got a full transcript of the entire call, and they were all lead scored. And the lead -- the dentist was just dumbfound. He said, I can't believe this. But this 27 leads and they scored all the details and the partner said, "Hey, it's just the beginning. This is the future. This is what these guys are delivering. So really excited about the lead scoring and call analysis. So AI is being used throughout the product to make it easier for small business people, kind of meet them where they are. And obviously, AI is doing a lot internally for us as a company. All the fulfillment that we're doing where we're building sites, doing social, we're using AI to amplify our productivity. Our legal department uses it. We're using it in accounting. We're using it all over the company. So, you probably heard from other businesses that they're finding meaningful efficiency there. And then maybe most importantly, in our software development team, they're using all the latest tools to amplify and speed up the road map of development and then obviously using AI for QA, trying to make sure that the quality is there and speed up the process of finding already bugs, get to the bottom line, get it sorted and get them squared away. So, AI has been a big lift for us. It's been a big part of our progress that we've made this year. and really feel as though the availability of AI in the software is a big tailwind for us as we go into next year. Really excited about that. So, I've got a couple of other comments to make later, but I know you're anxious to hear the numbers. So, let's turn it over to Paul and let Paul take you through the numbers. Paul?
Paul Rouse: Thanks, Joe. Let's dive into the numbers. SaaS reported revenue was $115.9 million in the third quarter, representing an increase of 33% year-over-year. Keap contributed $16.8 million in the third quarter. Excluding Keap, Thryv SaaS business grew 14% year-over-year. SaaS adjusted gross margin increased 80 basis points year-over-year, reaching 73%. In the third quarter, SaaS adjusted EBITDA increased to $19.6 million, exceeding guidance and resulting in an adjusted EBITDA margin of 17%. We ended the third quarter with 103,000 SaaS subscribers, including 13,000 from Keap, representing a 7% increase year-over-year. With a large established customer base now in place, our focus is on increasing spend per customer by driving adoption of more products and solutions, especially among our high-value clients and larger businesses. This approach meaningfully expands SaaS lifetime value and is a more efficient driver of profitability. In the third quarter, overall SaaS ARPU reached $365 with Thryv at $355, up sequentially and Keap ARPU remaining strong at $437. Seasoned NRR declined to 94% this quarter, primarily reflecting noise introduced as we transition legacy digital marketing services clients on to our modern SaaS platform. As we systematically wind down older tech platforms on our marketing services side, we are upgrading clients to our current software offerings while honoring their previously committed pricing, vastly improving the value they receive by introducing a wave of smaller accounts into our base, which temporarily impact ARPU at the time. These accounts from our Q3 2023 migration are now cycling into the seasoned NRR calculation after crossing the 12-month threshold. The performance we're seeing from this group is consistent with the minimal initial commitments and lower propensity to expand spend compared to our higher-quality software clients. This is all part of our broader business transformation. And while some SaaS metrics will show temporary noise during this transition, we are making steady progress building a solid software client base with strong underlying fundamentals. Multiproduct adoption continues to accelerate in the third quarter. Clients with two or more SaaS products grew to 17,000 or 20% of our base compared to 15,000 or 16% a year ago. Thryv centers per client was 50% at the end of the third quarter compared to 12% in the prior year. Moving over to Marketing Services. Third quarter revenue was $85.7 million and above guidance. Third quarter Marketing Services adjusted EBITDA was $21.2 million, resulting in an adjusted EBITDA margin of 25%. As anticipated, this quarterly performance is subject to the dynamics of the print schedule, which performed better than expected and returned to normalized levels starting in the second quarter. Third quarter Marketing Services billings totaled $70.6 million, down 33% year-over-year, reflecting the intentional shift in our strategy. As we continue to initiate upgrades of the legacy digital marketing services products for clients to our SaaS platform, the decline will persist, but at a managed pace, we remain on track to exit marketing services by 2028 with cash flows lasting through 2030, ensuring strong liquidity as we fully transform to a pure-play software business. Total company billings were $184.2 million, down just 4% year-over-year, underscoring the company's steady progress as it transforms into a leading SaaS business and positions itself to stabilize total revenue and return to sustainable growth. In the third quarter, we generated free cash flow of $14.6 million, which brings the year-to-date free cash flow to $18.8 million. We ended the third quarter with net debt down $9 million to $265 million, bringing our leverage ratio to 1.9x. Turning to our outlook for 2025. For the fourth quarter, we expect SaaS revenue in the range of $118 million to $121 million. For the full year, we are updating our SaaS revenue to a range of $460 million to $463 million. For the fourth quarter, we expect SaaS adjusted EBITDA in the range of $19.2 million to $21.2 million. For the full year, we are raising SaaS adjusted EBITDA guidance to a range of $73 million to $75 million. For the full year, we expect Marketing Services revenue in the range of $323 million to $325 million. For the full year, we are updating Marketing Services adjusted EBITDA guidance to a range of $76 million to $78 million. Now, back to Joe.
Joe Walsh: Thanks, Paul. I'd like to talk a little bit about our vertical initiative. We talked earlier this year about our HVAC vertical. We had taken the Keap automation tools and Thryv Marketing Center and kind of packed them together and created these really interesting vertical applications. The first one that we applied was to HVAC. And I was recently talking to the kind of the pilot or pioneer customer on that. And they have been really pleased. They've gotten a very strong response from what we put in place. And I just want to give you some sense of the statistics that they've given us. They've had around a 10% lift in jobs booked, a 25% increase in total revenue. They're generating 50-plus qualified leads every month. And they're seeing an increase in repeat business, about 12% increase in repeat business because the automations have automated reminders that are reaching out and tickling their customers and saying, "Hey, what about this, what about that?" And it's stimulating business out of their base. They also had felt as though they weren't as good at social media as they'd like to be that you could put almost any small business in that category. And they've seen a 45% boost in engagement in their social tools and what they're doing with social. So, they are really happy campers. We've had very strong sales within our HVAC vertical, and we're now about to roll out a broader home services vertical that gets at more of the home improvement type broader categories. And we've got a bunch queued up behind that. So, the model that we use where we use the automations, customize them around the vertical is, I think, a terrific model. I want to say one other thing, just for those of you that are thinking about how we fit in the market and our competition and all that. This customer I've just described in detail how happy they are with Marketing Center. They are a ServiceTitan customer. This is a very big HVAC company with tons and tons of trucks on the road. And they are a ServiceTitan customer. ServiceTitan tracks the Freon and the wing nuts and where the trucks are, and we handle the marketing. And that paradigm, I think, is increasingly building where people are using some really deep vertical CRM and then using our tool for the marketing. And we do have a CRM. Our CRM is more a horizontal. We haven't done as much down -- deep down in the verticals. So, when you get to a larger, more sophisticated business, they often are using one of these in-industry CRMs. And that's fine with us. We're agnostic about that. Our marketing center fits perfectly in with that. And we've got a lot of integrations, and we're adding more all the time. So, I want to just say that, one of the pieces of this transformation journey that's happening as our software platform is building out now and becoming more complete, we're beginning to move upmarket. You might say, well, Joe, your ARPU has been bouncing around. It has bounced around because we've been converting legacy marketing services people off of platforms. In some cases, they came in at pretty low billing numbers because we were looking to just shut down a platform, and we allowed them to come over and we kind of grandfathered in their preferable rate that they've had in the past. But in terms of what we're selling, we're moving from that $4,000 to $8,000 at a very rapid clip. Our U.S. field sales force is selling up in the $6,000 range with the run rate sales that they're making every day. And as we build products, as we're focusing our marketing initiatives, it's all moving upmarket. And so upmarket has been a big deal. And one of the things we've been looking at lately to try to help investors understand that as we've been looking at the $400 and up a month segment, which is growing steadily and strongly and has grown very predictably. And these customers have very good retention metrics. We make good margins on those customers. And it helps sort of weed out the noise that's there with some of the smaller customers that have come in through these conversions. So, we'll talk about that more in the future, but our transformation as a business is continuing at a nice pace. And as my last comment here, I want to mention Sean Wechter, our new Chief Technology Officer. I think his middle name could potentially be AI. He is all AI all the time. And we're really excited about what we think we can do with Sean in the year ahead to really up-level even further our integration of AI, and our pace of throughput through our engineering team. So really excited to welcome Sean to the company, and I'll stop there and turn it over to questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Scott Berg with Needham & Company.
Scott Berg: Joe, I wanted to start off on the SaaS business. Obviously, growth remains reasonably strong, but you did miss your guidance in the quarter on a very minimal amount, but did come in at the very low end of the range. Help us understand kind of what's happening, whether it's on the new sales side or the expansion side to kind of drive the results versus your expectations 90 days ago?
Joe Walsh: Yes. I mean, look, we -- as you say, we are making really good progress, transforming what used to be a phone book business into a SaaS software business. And there's a lot of execution involved, and our execution wasn't flawless in this quarter. You guys often ask me about the macro and whether it's the economy, I can't blame anything outside at all. Our execution just was a smidge shy of where we wanted to be. And I think we are doing the things that we need to, to make sure we continue to execute even better going forward. So, I don't think there's any big message or any big trend here. We just didn't deliver it perfectly. But I don't have any complaints about the market or anything like that.
Scott Berg: And then in your pre-scripted remarks, Joe, you had talked about how I'll paraphrase partner results have been just kind of okay to date maybe relative to your expectations. Where -- how do you -- I guess, how do you improve some of the partner opportunity with the Keap ecosystem that you all obviously brought over? Is this purely just a function of the additional innovation that you spoke about with some more time with these partners? Or as you've had a chance to kind of work with them in the last 9 months or so, have you been able to find anything else differently maybe that you have to implement in your strategies there to maybe leverage that ecosystem even more?
Joe Walsh: Yes, Scott. I mean, you know the old infusion Saas -- Keap really well. And they have primarily built their business through the partner channel. They just have those really gigantic icon conferences with over 2,000 people, and it was partner-driven. And then under some different leadership and ownership or whatever, they sort of pivoted away from partner and attempted to try to build a more down market direct channel for a few years. And they really -- the partners felt neglected. And so, when we showed up at the initial Grow Conference, which was days after we made the acquisition, I had a line of partners wanting to basically not yell at me, but pretty close and say, we've been neglected for years. You guys -- the innovation has slowed down and some of the basic tools and things that we need we haven't been getting and these guys haven't really been listening to us. And I hadn't fully understood that during the diligence process. I was thinking we could dump some gas on the fire and really get that partner thing rocket right away. And they wanted some service first. And so, we worked really hard over the course of this year to listen to them, prioritize their needs and begin delivering them. And we have, in fact, delivered a bunch of them. And the feedback I got at our Grow Conference 2 weeks ago was way to go. We really appreciate it. And I think that, the partner morale and enthusiasm for what we're doing is rising beautifully right now. And I think some of these partners work across different tools than just Keap. And it's not the only thing that they do. They also work with other partners. And I think they're turning back our way more excited about what we're doing. So, I was probably polite when I talked about last year's partner performance. It was weak compared to what I was counting on. It's probably the primary difference in the results versus what I had planned. But having just pressed the flesh and spent 3 days with a whole bunch of them, I have a really good sense for a reacceleration in 2026 based on what we've done and based on several deliverables that are coming out over the next number of months. So, I don't think it's a permanent or terminal problem. I think it's difficult when you do an acquisition to really know all the sentiment and all the momentum around everything that's going on in the business. And I still would have done the acquisition. I still happy with it, still excited about where we are. There just was a little bit of a one step back before we could move forward.
Operator: Your next question comes from the line of Jason Kreyer with Craig-Hallum.
Jason Kreyer: All right. Can you guys hear me okay?
Joe Walsh: Yes.
Jason Kreyer: Okay. Great. So Joe, look, you just held this user conference. Just curious, any takeaways from customers as far as what the current environment feels like? Any changes to purchasing decisions? You had admitted in the last question that like you're not playing in the macro or anything. But just give us a tone for how things feel out there.
Joe Walsh: I think they're pretty decent. I've said to you before, generally speaking, our customer base fix the nasty things in life. So, we're not doing high-end retail here or dining or all the consumer is a little soft or that's really not us. When you're -- air conditioning doesn't work or it's cold in your house or you have a broken window, you call our guys and they take care of it. So, we're not that economically sensitive. When we don't deliver, it's mostly our fault. I really can't -- there's probably better people for you to tap into the macro. We really -- even if the macro were crappy, we could still crush our numbers with great execution. It's really down to us. So having said that, just talking to people, I think the market is fine. I don't really think there's any -- I mean, obviously, it's a bifurcated market. The highest end of the consumer owns stocks and is watching them go up and is excited about it and it seems to be a little softness at the other end. I mean, just -- it seems to be a general observation, but I don't think that's affecting Thryv's results.
Jason Kreyer: Appreciate the thoughts nonetheless. I wanted to just follow up on the vertical sales emphasis, the HVAC stuff. As we look out over the next several quarters, how does this manifest in fundamentals? Like is this -- does this drive NRR? Does this curb churn? Or does this grow ARPU? Like maybe you could walk through what we should expect over the next several quarters?
Joe Walsh: Yes. I think it will certainly be gradual. We're not -- we got a pretty big company with a pretty big customer base. So, we can't just -- it isn't going to instantly be all vertical all the time. But Jason, the thing that we're trying to do is moved from $4,000 a year per customer to $8,000. And as I mentioned, the run rate of our premise sales team is more like $6,000 right now. And the overall number is lower in part because of some of the conversions of legacy marketing services. And some of those people have come over at much, much lower price points. And I mean, just for the avoidance of doubt, our sales force isn't even calling on them. We don't really call on anybody at much under about $350, $400 a month. That's -- they're sort of inert just doing their thing. We're not really working that group very hard. So, it's hard to get much NRR out of people you aren't even calling on. So anyway, back to what's going to happen with verticals. I think these early sales in the verticals that we're working have been coming in more like the 8,000 that we're going for like right now. So, we're ending up making larger sales, and we're selling to a little bit larger businesses, which is ultimately our goal. This might surprise you, but a solopreneur who has less than $500,000 of revenue is churnier than a business with, say, $1 million or $1.2 million or $1.5 million of revenue that has 7, 8, 10, 12 employees. And in our base, we still have a reasonable number of these solopreneurs, and that's where some of the churn noise comes from. So, what the vertical push is allowing us to do and as well as a number of other things that we're doing in our whole go-to-market data strategy, is we're putting our sales resource against a little bit bigger businesses. These are not giant companies. We're talking about 10 employees, 15 employees. But we're calling on those a little bit bigger employees that are -- excuse me, a little bit bigger businesses that are a little bit more stable. And the vertical program is allowing us to really get traction there because sometimes when you call on a bigger business, they'll say, "Oh, I already have a CRM" because obviously, we offer a CRM. But what they often are not happy with is how they're managing their overall marketing, how they're measuring their marketing, how they're doing with social media. A lot of them are befuddled with the answer engines, concerned about trying to make sure that they're coming up high in the answer engine results, and don't really have an answer for that. They need some help. There's a number of elements there. Some of them are doing search engine marketing, with some guy out of the chunk of his car, and it's okay, but not that great. They want to professionalize it, and they want to be able to measure how it works. So, we're a great answer in all those areas. And so increasingly, what's happening is we're sitting in alongside of other people's CRMs and where we're doing the marketing and they're doing the back-office stuff. And so, I think you said, what will we see? I think you will see steady improvement in ARPU. I think just the things that have dragged us closer to $4,000 I won't say we're all the way through it, but we're through a lot of that. And I think that, our sales organization have a lot to sell now. We've built out the product line a lot. And I think we'll be able to make larger sales to customers on which will make higher margins, have lower churn. And you can see it when you look at that quality metric beginning to really settle in and move. And I don't focus as much on the absolute gross customer amount. I'm focused on building that quality metric because there's a little bit of noise in our base from some of those conversions. So anyway, that hopefully gives you some sense for the vertical strategy, Jason.
Operator: Your next question comes from the line of Arjun Bhatia from William Blair.
Alinda Li: This is Alinda Li on for Arjun Bhatia. With the onboard of the CTO, Sean, for a little over a month now, Joe, what are the early strategies in the works to achieving operational efficiency, product acceleration and also AI innovation?
Joe Walsh: Yes. AI. I mean, Sean's all AI all the time and the guys he's bringing in are all AI all the time, too. And not that our team wasn't, we were doing a really good job with AI, but he's taken it to another level. I mean, he's focused on it. And I think really inspecting what we expect, making sure they have at the ready all the tools that they want, that they're using them, looking at how they're using them. And so, I expect the output of that to be as we span across 2026, the pace of development against our product road map, I think, will quicken. It's been quickening already. We're doing a good job, but I think you're going to see it go faster. And I'm excited about that because there are a bunch of things these larger customers we're working for -- working with are looking for that, I think we'll be able to deliver quicker with this thinking and this approach that he's bringing. The second thing I'd say about Sean is his recent background with Boomi was all about integrations and making software work together. And as you move upmarket, as we are now doing, you must be able to work and play well with others. You've got to be able to have interoperability because a going concern, even with 12 or 15 employees that has some workflows doesn't want to change them all in order to embrace your tool, even if your tool is great. And so, you've got to be able to dovetail with what they're doing. And as he's often saying to me, Joe, this is a solved problem. It's something we can handle, don't worry about it. And I just really appreciate that confidence there. And Sean is just an incredible leader, and he will lead our tech organization in a way that, I think will create high morale, his sort of NPS Scores, if you will, that he gets his morale scores when he leaves the team are exceptional. And I think we'll just have a faster road map with a bunch of happy campers in our development teams.
Alinda Li: Awesome. And with the new vertical product in home services, are you approaching the product development in a similar way as with Thryv for HVAC, where you work with the industry leader in the market in creating that product? How should we think about this product road map in the future in terms of vertical play?
Joe Walsh: Yes. I think it's -- as you know, we've got these powerful automations that are kind of, if win, if win, if win processes. And it's a question really of working with a leader the space and understanding what best practices are, what they do. And once you get inside of home services, whether it's electrical or roofing, they start to get to be pretty similar. There can be some nuances around insurance or some other details, but there are a lot of similarities. So, you're not starting from scratch. So that team are working hard. I was talking to the leader of the team last night about the sales organization's ability to actually digest the pace that he thinks his team can run at and cranking these verticals out. So, we -- it's a chicken or egg problem. Initially, we needed the verticals. And now he's turning them out, and it has a road map to turn them out maybe faster than we can train on them and absorb them. So that's -- we're thinking about how to manage that and how to deal with that. But yes, so they just find a strong business and spend time with them and map it out.
Operator: Your next question comes from the line of Zach Cummins with B. Riley Securities.
Zach Cummins: Joe, I wanted to start off just a little more focus on these Answers-based engines. I know it's been a big concern for many publishers and small businesses around visibility of their websites within this evolving dynamic. So, can you talk a little bit more about what Thryv is doing to make sure that your customers are remaining visible within these answers-based engines?
Joe Walsh: I'd love to. That's great. Yes, we spent a lot of time understanding what the answer -- how the Answer engines operate, what makes them bring back results and so on. And I'm not today going to go through every detail of that with you. But all in all, we think it's a really good thing for us, Zach. It's a tailwind for us because remember, we have been competing with Google for years. If you go back 20 years, we had more traffic than Google did. We were the giant thing with Yellowpages.com and DeskOS and SuperPages, and we had these big sites. And we still have these big sites, and they still have a lot of traffic. But over time, Google spent a lot of time trying to compete with us and basically take away as many of those references as they could. And all of a sudden, with the Answer engines, Google's just hammerlock on all things search is broken. And they -- are they the majority? For sure, still the majority. But now these answer engines often go, and they look at Yellowpages.com or DeskOS or SuperPages or our similar sites in New Zealand or Australia, and they bring those authoritative answers back out of that content, and not getting it from Google and Google can't have any influence on what that search result is. So, we've got really the pioneer in the Internet age sites of these online Yellow Pages directories with very authoritative, very detailed, very rich content about small businesses in Tupelo, Mississippi or Rapid City, South Dakota that never really embraced Google. And those answers are popping right up in these answer engines, which is awesome for us. It's allowing us to deliver more value than we might have without this. So that's good. And then secondly, remember, we build and host websites for people, some 54,000 or something like that at the moment, and more coming in every day. And we're really good at this. We understand how to create sort of a knowledge graph in a way that the answer engine is looking for it. And we understand how to do AEO, Answer Engine Optimization, how to make sure that everything about the way we present a small business' information, both on their site and even off-site if we're working with them in social or some of the other listings management areas that we care for customers and some of our add-ons, and we can optimize them and help them do better. And that story I mentioned briefly about the partner who had the dentist. In addition to just going with Thryv, he had also authorized doing some of these extra things. And that 27 leads overnight was like a shock for that guy. He was really excited about it, because he basically turned the spigot on, let us do our thing. And the Answer engines are part of our thing now. So, I would say if you offered me a world where I had the Answer engines or not, I mean, I would take them all day and twice on Sunday. I mean, it's really been great for us. And I don't mind Google loosening their grip just a little bit on everything.
Zach Cummins: Understood. And my one follow-up question is just around balancing ARPU expansion with looking for ways to continue to grow the customer base. Obviously, ARPU expansion has been the bigger driver here in recent quarters and it looks like that's going to continue to be the case as you get more quality customers within that SaaS customer base. But can you just give us a sense of maybe when we hit that inflection point and we start to see stabilization in that gross customer count and maybe you're getting a little more of a balanced contribution from both customer growth and ARPU expansion?
Joe Walsh: Yes. Look, we have a bunch of very specific initiatives underway to build our business outside of the Zoo. But if we were just to rush out there and make it and try to do it, we would be just like any other software company. And we'd be dealing with cost of acquisition that didn't play well with the lifetime value. And so, we've had a real almost unfair advantage by having this gigantic customer base of people that like us who take our phone call and talk to us, and we're leveraging. And so let me answer your question this way. If we started -- let's just say we didn't add any customers. We just replaced churn customers and just hung out where we are. We could still take this business from whatever it is, a little less than $500 million revenue we're running at right now to $800 million or $900 million revenue just by doing what we've talked about, growing the ARPU in the base. So, we have -- you're going to see us grow very strongly and do a very good job even before we add anything. And then in terms of adding, we're obviously managing the economics of the adding, making sure that the model of our cost of acquisition to lifetime value is right. And when you make larger sales to a little bit larger businesses, that's all a lot easier. So, we're working on processes internally to do that. But I would say, at the moment, we're not pushing really hard for really any sub growth in the next short period of time, the next few quarters. We're getting strong growth by making sure all those customers that we brought over are getting visits in a lot of cases, in-person visits or in some cases, could be online visits via Zoom visits. But we're spending time with them, making sure they understand what they have and talk to them about their options to do more. And that's super productive for us right now. Our sales force is really happy, because they're writing a lot of business doing that. So, we don't have an emphasis on pushing that number up. I wouldn't be in your modeling saying we're going to put huge gains in the short run on that base. I think over the long haul, we will. But in the shorter run, right now, we're pretty focused on bedding down and engaging and growing the ones that we've brought over.
Operator: Your next question comes from Matt Swanson with RBC.
Matthew Swanson: I really appreciate the quality SaaS client metrics new disclosure, as you mentioned, reducing a lot of that noise. Can you just talk a little bit more, maybe as a follow-up to that last answer of the trends you're seeing within that cohort, especially now that we've gotten to 77% of the client base, the assumption would be that, that group is going to start to be much more broadly reflected in the business results overall. So just kind of trends that you're seeing in that group relative to the overall business.
Joe Walsh: I'd love to. And I really -- Matt, I appreciate the question, because it's really at the heart of this. I think sometimes people look at our business and they have a hard time really perceiving it because it's in transformation, and you see the top line revenue bouncing around based on the pub schedule within the print business as it runs off. And then there are customer bases or customer groups, in some cases, that came over in clumps, some of which are pretty far below the spend levels that we're spending time with our field sales force. And so, it creates noise in the numbers and you're like, okay, what's the pattern here? And so, I think if you look at these customers spending $400 or more, they tend not to be solopreneurs. They tend to be businesses with multiple employees and a little bit of billings. They're actually kind of real companies. And so, they tend to churn less. And their willingness, their interest, their ability to buy more tools from us, buy more software from us and utilize it is greater. And so, we find we're able to talk to somebody in the business who's managing the marketing or managing the software, and we're able to work with them and talk with them about that. So that's very rewarding for us. And a lot of times, these businesses are also succeeding. They themselves are growing. And so, year-over-year over year, they have more revenue. They have more resources, and they have a greater ability to buy more. And it's a virtuous circle where our offerings are helping them get leads and grow and build their order book. And with that growth, they then can buy more stuff. They start getting more and more employees and they can put them on workforce center and all these other kind of virtuous circle things. So that's pretty much what we talk about every day in the company and what we're working on is these customers that we're actually able to spend time with and work. And we have kind of a little bit of a sort of an unwritten rule, but we're trying to service those very tiny customers through online channels and chat and so on and really not spend as much time with them because it's -- obviously, our time is super expensive. So, we're spending time with the larger businesses where we think there's upside to grow. So, I think you will see over the coming quarters, that quality metric is what we've accomplished. And you're going to see that thing steadily building. And they're buying multiproduct. Their spend levels are good. Their churn levels are fairly low. And I think you'll see us building on that. And that's really the core of what we've established here through this process.
Matthew Swanson: That's really helpful. And then I just wanted to kind of combine 2 comments that we made earlier in the call. At one point, we were talking about there were some regions that in the SMB space never like fully adopted things like Google. And now we're rolling out AI and optimized search. And I just -- I was curious about, first, you develop the products, but then also, how do you go to market with some of this brand-new cutting-edge technology to businesses that might be a couple of generations behind technology-wise and really like letting them know or like perceive kind of what the value to them is going to be from this.
Joe Walsh: We were just talking about this yesterday. You don't go around walk in there talking about automations and AI and blow in their mind, you make it pretty simple. And you talk to them about their ads and listings and the directories, making sure they're right, making sure their listings are correct all across the web, making sure they have a good hygiene, basic website and a good foundation. You keep it all pretty basic and straightforward. But like that ad in the old days for the tomato sauce, Ragu, it's in there. I used to say it's in there. If they have questions about any of these latest things, you can explain, it's in there. I mean, AI is right in there, and it's available. But we don't lead with that. You can intimidate a customer really quickly with a bunch of acronyms and throwing around all kinds of fancy terms. So, we try to build it up off of a foundation and Marketing Center is an amazing foundation. For a century, people have been saying, I know, a lot of my advertising is wasted. I don't know what it is. And within Marketing Center, you can tell exactly what works. We are able to put call tracking numbers on offline things, online things, everything you do. You can take a look at heat maps for your website, bounce rates for your website, you can put widgets on your website, chat tools. Every which way somebody can come at you. We can measure it and facilitate it and improve it through Marketing Center. And for a lot of people, the money they spend on outreach to try to make the phone ring and bring in more leads is near and dear to them. And the promise of having a way to optimize it and measure it and then tie it back to their order book even for somebody in Rapid City, South Dakota, that's something that's an exciting prospect. And we just try to keep it -- keep the jargon out of it. And remember, we've got a guy that's been in Rapid City, South Dakota for 140 years, maybe not that exact guy, but as a company we have. We started in 1886. So, we have that relationship. We're there. We're already working with them. And those flyover replaces, we do really, really well in those flyover replaces. Matt, did I answer your question?
Operator: There are no further questions at this time. This concludes today's call. Thank you for attending. You may now disconnect.